Gene Murtagh: Good morning, everybody. Welcome to our interim results for 2024. We will just go straight into the slide presentation, if we could, on Slide No. 3 titled H1 2024 in Summary. You all, no doubt, have seen this already, of course. At a summary level, revenue up 2% to €4.2 billion. Trading profit down this region to €422 million, which resulted in EPS of 5% to almost €1.70. We'll get to all of the detail of the makeup of that as we go through the call. And then I'd say very importantly as well and not to lose sight of this. In terms of our planned emission, our greenhouse gas emissions, Scope 1 and 2 are down 75% in real terms since 2020, which, I think, by any stretch, is a fairly extraordinary achievement. And that whole plan continues to deliver for us. So just to head into some of the detail, I'll just hand you over to Geoff, after which we'll take some questions.
Geoff Doherty: Thanks, Gene. I'm reading from Slide 13, Financial Highlights. So group revenue in the first half, up 2% to €4.17 billion. Trading profits, a touch under €422 million. Earnings per share, down 5%. Free cash flow and I'll come to the constituents of this shortly, €103 million. Net debt, up 11% versus the first half of last year. Worth bearing in mind that there was €750 million of investment during the first half between acquisitions, CapEx and our buyback program. Trading margin, down 60 basis points, and I'll come to the divisional mix of that shortly. Our effective tax rate, broadly in line with the first half of last year, and that's our effective tax rate guidance for the full year. Balance sheet remains strong, with net debt-to-EBITDA at 1.5x. The margin profile of the business is set out on Page 14. So firstly, on Insulated Panels, first half margin, 11.1%, so down a percentage point or so versus last year's financial year. The most significant issue at play there really was the market mix of sales, which can ebb and flow from one period to another. I think we'd expect that margin in the second half to be slightly stronger than that in H2 '24, bearing in mind the order intake volume was pretty positive in the first half, and that ought to feed through into the second half and consequently to margin. Insulation, low at 8.6%. Worth highlighting that the investment that we made in our stonewool plant in April of this year. We've to invest a little bit in the P&L as we ramp that up. There'll be a further amount of that to come in the second half. That was 40 basis points of a margin reduction through the first half, similar in the second half. But naturally, as we go into next year, the name of the game or the aim of the game there is to make margins. So that will be accretive from next year. Data + Flooring, a lot of momentum in that business, momentum and margin as well. 15% in the first half and ought to be at least that as we go into the second half. Roofing + Waterproofing, margin ahead of plan at 8.8%. Full year, I think we'll be at or around 8% and a lot of progress generally in that category, which I'm sure we can elaborate on. And Light, Air + Water continues to progress its margin incrementally. 6.7% versus 6.4% in the first half of '23. And worth emphasizing that's very much a second half-weighted business from a margin perspective. So at a group level, 10.1%, and I'd expect that to be sequentially a little bit better as we move into the second half of the year. Turning to Page 15, just bridging sales and profit. Acquisitions contributed 7% overall to sales first half '23 versus H1 24, underlying down 5%, so a net 2% uplift. And from a profit perspective, acquisitions contributed €26 million or 6%. Underlying was down 9% or €40 million, bridging to the €422 million trading profit for the first half. The sales by geography is set out on Page 16. No significant change in the overall proportionality of the business. Naturally, our largest end market is Europe, where -- and we've highlighted in the statement, the trading environment in Europe has been a grind for much of the first half. But nonetheless, the proportions are pretty similar versus the first half of '23. Cash flow is set out on Page 17. Working capital, again, worth highlighting that our June balance sheet is typically a bigger balance sheet than December, bearing in mind its positioning in the trading year. Our working capital-to-sales ratio actually was more efficient June '24 at 12% of sales versus 13% of sales in June '23. So we expect to be able to maintain that level or that percentage level through much of the year. Net CapEx, €157 million. Our CapEx guidance for full year is €285 million. That's a little bit higher than we've guided previously as we accelerate some of our plans in roofing and Data + Flooring, bearing in mind the growth opportunities in both of those businesses. The tax outflows, the settlement of last year's tax liability and some of the provisional estimates for this year. So net free cash flow of €104 million for the year. Bridging net debt on Page 18. We started the year with €980 million of net debt. We had an acquisition spend in the period of €457 million. The lion's share of that was the majority stake that we acquired in Steico. We also completed our buyback program during the period at a cost of a little under €135 million. And that left net debt at the end of the period at a little over €1.5 billion. I would expect by year-end, setting aside any further development activity, net debt ought to be in the region of €1.25 billion. So leverage of 1.2x or there or thereabouts at year-end. The strength of our balance sheet is set out on Page 19. An undrawn green revolving credit facility of €800 million. We've total private placement loan notes of €1.55 billion. The weighted average maturity of our private placement notes is about 4.5 years. And we have total available liquidity of €1.5 billion between cash balances on hand and undrawn facilities. On Page 20, we just highlighted the -- a short cross-section of our history the last 10 years, just to emphasize the consistent accretive growth of Kingspan over many years and, in this case, over the last decade. So compound growth in earnings per share of 21% over the last decade up to the end of 2023 and trading profit moving in that period from €150 million to €877 million. And we're guiding for 2024 trading profit expectation in the region of €900 million for this current financial year. So with that, I'll hand back to Gene.
Gene Murtagh: Thank you, Geoff. We'll go through the businesses, I guess, during Q&A. But if we could take it just to the outlook slide in -- on Slide 26. It won't surprise any of you that it's a relatively difficult trading environment in construction actually right around the world. Thankfully, there are some sectors that are performing better than others, and we're well exposed to those, which will carry us well through the second half and into the years ahead. Notwithstanding that, I think it's important to point out that the order intake in our Insulated Panel business, which is our largest, is double digit ahead of prior year. And actually, that continues even into the third quarter. So the order bank, the intake has been strong. The bank has been building. And as Geoff said, we would expect that to bear fruit during the second half and also even into next year. So that's actually quite positive. And during the year so far -- you see on our global expansion slide, during the year so far, we have already implemented or taken to market over 10 new facilities, new or expanded facilities with a further 3 or 4 to go even in the current year. So we're in build and expansion mode and very much have our eye on the long term. So we'll grind through the present environment that is before us, and we remain very positive about the future. So with that, we would be delighted to take your questions and expand further on all of these topics.
Operator: [Operator Instructions] And our first question comes from Shane Carberry from Goodbody.
Shane Carberry: Yes, two if I may, please. The first, just in terms of the Insulation division. I guess we've probably become accustomed to kind of low double-digit margins here. Couple of consecutive periods of kind of margins in the high single-digit sort of territory. I know the division has evolved considerably over the last few years. But could you help me out with the building blocks of how we should think about margin evolving there over the next few years? Would be helpful. And then the second question was just in terms of Data + Flooring. In the statement, you talked about a kind of target now of €200 million of EBITDA in 3 years' time. So can you just talk a little bit about more, I guess, how you achieve that €200 million? What is Kingspan's kind of USP from a Data + Flooring perspective? Yes, just a bit more color around that €200 million would be really helpful.
Gene Murtagh: Sure. Well, on the margin piece, first of all, Shane, it's -- you're right, it has been below 10% for a little while now. And a couple of very obvious reasons for that. As Geoff mentioned earlier, probably the most significant piece in the near term is the commissioning drag of a stonewool facility, which isn't a surprise. It's a very significant investment and a very costly ramp-up. And that will be what it will be, and it could clearly affect us in the second half as well, but we'd be highly confident of that breaking through into attractive margin territory in 2025 and beyond. And you don't have to look far to see the kind of margin profile that can be delivered from those products. So that's part of it. And I think the other meaningful part is the board business in Mainland Europe. So the board business, just for context, is about 6% of group revenue. Just it's important to keep that perspective on what that business means now because as you point out, the Insulation division has evolved usually in recent years. But that part of the business, it's a tough trading environment from a volume perspective in Benelux, Germany, France in that market. And to be quite frank, I think it's oversupplied and highly competitive. So that's an area that is going to be what it's going to be for the time being. But over time, we would expect that to alleviate. And I think new products and better products, which is very much the formula in Kingspan, will be a key part of that. So between the combination of those 2 improving, I would say, the recently acquired wood fiber business, which is obviously below par margins from where it has been in the past, we'd be highly confident about that delivering. And indeed, as the acoustics business and our district heating business ramps up over time, and both of those are looking very encouraging, we'd be highly confident of this business breaking through the 10% again. Yes, we actually wouldn't have any concern about that. It's -- we're just in a tight window at the moment for all the reasons I've just outlined. In terms of the Data + Flooring business, we -- probably a year or 1.5 years ago, we set out the ambition to get that business to €1 billion revenue, €200 million operating. It's very much on that path. It will be up around €90-plus million in the current year. It will smash through €100 million and well above that into next year. The order intake in that business is close to 50% higher than it was a year ago. So the bank is building up there. And it's really around the internals of the data center and increasingly actually around the passive ventilation of these data centers as well. So we have a number of solutions that are unique to us, and we have relationships that are extremely tight with all of the key names in the data center area. And additionally, we were -- like in terms of USPs, we've got the delivery piece, which is entirely unique. We're able to deliver these solutions actually globally from the footprint we've got to all of the major people, and I think that's a key advantage. It's all about modularity. So i.e., we're bringing far more of the build into a factory rather than the site, which is highly attractive, obviously, from a delivery and reliability, speed-of-install perspective and stuff like that for the end client. And then building out the product set, when we're in front of these organizations, as many solutions as we can bring to them, the better obviously. So we're building out the product set and trying to increase the dollar sale per job, and that's been happening at a significant pace as well over the very recent times. So we would have a high degree of confidence of being able to achieve the target that we set out there last year.
Operator: The next question comes from Arnaud Lehmann from Bank of America.
Arnaud Lehmann: I have two questions, please. The first one is coming back on your qualitatively positive order intake comment in panels. Are you seeing sequential improvement? Do you see, in particular, improvement in countries where you have higher margins because I understand there was a bit of a negative mix effect on countries in the first half? And then what is the pricing outlook as well? That's my first question. And the second question is any comment on the -- any incremental M&A activity coming up or what you see in the pipeline, that would be helpful.
Gene Murtagh: Okay, Arnaud. So on the order intake, so as I said, it's healthy into the double-digit increase, and that actually is still the pace it's running at. The most notable improvements there I would highlight as being the U.K., U.S., Australasia and Brazil would be kind of notable areas where intake has been a lot better. And that should deliver a healthier margin profile into the second half vis-à-vis the point you made about the geographic mix in the past. So yes is the answer to that. Where it's most tight in that business is in Central Europe. Kind of for the reasons that we said on the board business in Western Europe, it's not bad from a volume perspective, but it's a highly competitive market just at the moment. And again, over time, we will expect to see that improve through differentiated product range. On the M&A front, it's busy. We've actually a reasonable chunk of transactions already executed in the first half. And we have big, small and everything in between of opportunity in front of us. And to be honest with you, like we haven't had in the past. So we just need to pace ourselves, obviously, in terms of digestibility from a balance sheet perspective, but the opportunities are there, and we're in execution mode on that front.
Operator: The next question comes from Flor O'Donoghue from Davy.
Flor O'Donoghue: Just relates to -- I might bring up the development pipeline, nice turn of phrase in the document, talk about being flourishing. I might just ask you, Gene, to maybe elaborate a little bit on that maybe with specific reference to, let's say, roofing and maybe the whole area of natural stroke, acoustic insulation just to broaden out the picture there, if that's okay.
Gene Murtagh: Yes. Yes. Yes, it's an expanding stroke, kind of flourishing pipeline there, Flor. We've opened up new platforms that you refer to some of there over the last few years. Like on the Insulation side, broadening out the spectrum has been a critical part of our plan and, actually, our delivery. And as we do that, we see more and more opportunities. For example, we're very recent entrants into the acoustic market. Very attractive business that we have and a very attractive global opportunity to continue expand that very strongly organically but also through acquisitions. Technical insulation, again, we're in the hundreds of millions in a market that's 6 billion or 7 billion worldwide, lots of opportunity there in air movement and in liquid movements in terms of insulating, so nonbuilding. They're very interesting new platforms for us. We're recent in stonewool. It has issues as a product from its performance criteria. It works better in certain situations, not better in others, but it has its position, and we're keen to carve out a meaningful position for ourselves in that sector. So that's all attractive. And then beyond that, on the bigger platforms where there are still lots to do in Insulated Panels if you take a world view. And then in terms of daylighting and roofing, actually, the world is our oyster because it's -- we're making a lot of progress. We've got scale in both of those businesses now, but the development pipeline in both of those areas is really encouraging. And like I said before, it opens up just an entirely different scale opportunity than we would have even been used to 2 or 3 years ago. So it's all there. Like I said, it's about timing and pacing ourselves here, but we would expect to deliver the same type of profile and a bigger scale than we have done in the past.
Operator: The next question comes from Gregor Kuglitsch from UBS.
Gregor Kuglitsch: So maybe 2 questions as well, please. So the first one, if you -- I think you sort of flagged acceleration in CapEx. Can you maybe just give us an update on some of the expansion plans? And I'm thinking specifically about U.S. roofing and then, I guess, also the Data + Flooring business, which you've alluded to already. And then sort of a broader question on margins. So we're seeing your -- obviously, Steico reports margins at, I think, around 6%. We see your Insulation margins, then we see stonewool in the high teens. I guess I want to hear your reflections on why we are seeing this big divergence. Do you think it's a short-term thing? Do you think it's a structural thing? Just your thoughts as to sort of what's going on in specifically Insulation margins across the different product categories that are out there.
Gene Murtagh: Sure. So just on the first one, Gregor, we're -- the reason for the increase in the CapEx is a great reason, and it's demand led. So we're -- on the Data + Flooring side, first of all, we've established a new facility in the northeast of the U.S., up and running basically within 6 months from scratch to fully operational. We're on with developing another facility in Arkansas, which is going to be cut and paste, similar scale in the second half and into 2025. We've also got going on a facility in Belgium for the European market. And we're on with looking at the moment for one in Southeast Asia to support that geography. So all of those are additional and very much about supporting and delivering the €1 billion plan that we outlined. So that's all very exciting. And in fact, I think there'll be more to add to that as we go along. And then in terms of roofing, last time out, we discussed our organic plans for the roofing business in North America. So since then, we've executed on 2 very large-scale facilities, 1 in Oklahoma, 1 in Maryland. And we will be basically from now through to the next -- probably next 1.5 years in terms of machinery delivery and installation. We'll be busy at that -- over that time scale, and we expect to hit market early 2026 with a complete roofing offering. And that's only the beginning because naturally to service that entire market, we're going to require probably three more facilities. So that's -- they are kind of the key reasons for the CapEx increase. And on the margin side, Geoff will comment on this now. But just from my perspective, I think comparing our Insulation business to stonewool or whatever is not really -- it never was a kind of an accurate comp. And I know that might sound a little complicated. But only 6% of our group revenue actually directly competes with stonewool. So when you get into the acoustics and technical and district heating, et cetera, they're just actually fundamentally different. And within the Insulated Panel business, as you know, already about 12% of our global revenue actually has a stone core. So we've been in that business for a decade already. So I think the industries have gone through different waves. And you know from that industry, it hasn't always sparkled either. So I think it's -- there are entirely different dynamics at play in terms of supply/demand versus, in particular, PIR board in Mainland Europe. But that's -- that isn't something that I could say to you is a kind of a terminal pattern. I think that's something that can and will shift over time.
Geoff Doherty: Yes. Just more generally on margins, Gregor, we've consistently, over many years, delivered margin north of 10% and, in some years, north of 11%. And that's broadly approximated mid- to high teens returns on capital employed. And organically, as we grow the business, we're going to continue to deploy capital for those types of returns. In the stonewool and other industries, the reality is the fixed capital base is higher. So actually to get those types of mid-teens returns on capital requires higher operating margins. So that's a factor as well. But ultimately, given the extent of our proposition, the mix of markets that we're in, the mix of products that we're in globally, we're all about, over time, being a bigger business, making trading margins at or about 11% but growing all of the time. And similar to what I showed in the deck earlier, our job is to create value over time, and we continue to deliver margins at those levels consistently. We generate a lot of value. And there'll be periodic dislocation in markets like, for example, the residential market where that small part of our Insulation business now has the exposure to, which is temporarily very challenged given residential demand. But those trends ebb and flow. But over time, you can model us as being a 10.5% to 11% business over time.
Operator: The next question comes from Elodie Rall from JPMorgan.
Elodie Rall: So I'll just have 2 simple ones. The first one is on the evolution of costs that you're seeing recently. I think we're seeing steel costs still being down. So I was wondering if you could comment on the evolution of your cost base as well as my second question. How does that translate into pricing? Have you taken more pricing actions for H2? And what should we expect generally?
Gene Murtagh: Okay. So yes, steel continues to weaken actually. I suppose the ultimate read-through from that is that that's a fundamental demand issue that's ultimately affecting everything. But both in Europe and the U.S. and more recently and quite extremely in Asia, China in particular, we've seen pretty radical reductions in steel costs. So obviously, that industry probably affected is -- potentially leads to some deflation, but there's a bottom. And in our experience, there's only so far can go, and it isn't far off that. But it's a demonstration of weakness and does ultimately feed through into pricing. We've seen that in the past. It tends to fund price reductions from our perspective, but it also, when it turns, is very supportive for an inflationary drive. So again, that just ups and downs over time, and we've always been able to deal with that. So it's not concerning except for the general signal that it's giving. And from a chemical perspective, I'd say we're broadly, broadly stable, and we wouldn't expect that actually to go any lower.
Geoff Doherty: And just generally, Elodie, on pricing, our pricing headwind in the first half of this year was -- if you take the Insulated Panel and Insulation businesses broadly, was about 10% because from the second quarter of last year, raw materials were reducing quite rapidly. So our selling prices were adjusted accordingly in many cases. That headwind ought to be a little easier in the second half. We don't see selling prices being down 10% H2 on H2. It will be down a little bit, I suspect, but not to the same order of magnitude as we saw in the first half.
Operator: The next question comes from Alexander Craeymeersch from Kepler Cheuvreux.
Alexander Craeymeersch: Alexander from Kepler here. Yes, just on Roofing + Waterproofing, we've seen a strong margin increase there despite some tough markets. So I expect you to hit that 10% EBITDA margin to a bit earlier. And I was wondering if you now have shifted your expectation and timing to hit that 10% EBITDA margin. And then a second question would be on the stonewool prices. They are elevated at the moment. I'm just wondering if that impacts your 12% of global level where stonewool is at the core of your Insulated Panels and the margins in that business specifically.
Gene Murtagh: Yes. So on the first piece, you're right. The margins have been developing very positively, and we expect that sequentially in the second half actually to improve further again. Actually delighted to hear your confidence in us breaking through the 10%. That's our target as well. And we stay focused on that. And we'd be confident of that delivery, probably not this year but certainly into 2025. And then on the stonewool piece, yes, the prices, as you know, are elevated. As a general, I'd say, with the exception of that huge inflationary piece a couple of years ago, they're kind of way beyond the prices that I've seen at any point in the past and with no particular logic attached to that. So yes, if anything, I think stonewool, from a cost perspective for us, will probably head downward depending on how the general demand is for insulation in Europe, in particular, over the next -- over the next while. From our perspective in Insulated Panels, as I say, it's in or around 12% of our global volume. It's a good product. It's a good margin. Good margin delivery for us as well. And yes, we expect that to remain the case.
Alexander Craeymeersch: Okay. Maybe if I can just add one maintenance question. The one-off related to €20 million -- or related to hedging at Steico, that was about €20 million on the EBIT line. How is that reported in your trading profit? Because if I'm correctly -- if you exclude that, you'll arrive at 7% in Insulation margins.
Geoff Doherty: Yes. The Steico business -- our Steico reports independently under German GAAP, and those hedges are treated differently in the Steico accounts than they are in Kingspan. I mean we've guided a Steico trading profit number in the early 30s for this year under IFRS.
Operator: The next question comes from Ephrem Ravi from Citigroup.
Ephrem Ravi: Two questions. Firstly, coming back to your target of €200 million trading profit in Data + Flooring. You mentioned that there are 4 new plants in the next 2 years. Is that sufficient to get to that target? Or would you -- would that also require some acquisition? Could you give us some sense of ROCE in that business? Because obviously, it's one of the higher-margin businesses, I suppose there will be also higher investments that are associated with that to kind of sustain that kind of margin. And secondly, on your stonewool acquisition, I'm just trying to get a sense as to whether this was just a defensive move against stonewool competition for 6% of your businesses that directly compete as you mentioned. Or is it something where you see a genuine growth opportunity in?
Gene Murtagh: Sure. So in terms of the are the 4 facilities enough to deliver that, I would say, broadly speaking, yes, is the answer to that. But like I said earlier, it's possible, we will be developing beyond that. We will be kind of fleshing out the business with very select but relatively small acquisitions to enhance the whole product offering that we have. That happened briefly with a 70% acquisition of the Q-nis business in Ireland, which is around ventilation. Was based in Ireland, but really, it's all about for us pumping the global opportunity for that solution. And the opportunities there are extremely encouraging, in fact, as a complement to what we already offer. So I'd say largely speaking, that infrastructure is taking shape. From an investment perspective, actually, it's not nearly as big as some of our other businesses. And as a result, we would expect the return on capital here to increase significantly in that business. And from the stonewool question, no, it's not at all defensive. For many years now, we've outlined our ambition to be able to offer the complete spectrum of solutions. The reason we want to do that is that applications, cultures, regulations, et cetera, vary country by country. And as an overall group, we want to be able to provide as many solutions as we can rather than walking away from opportunity, and it's actually nothing more than that. And even internally, as we said before, we consume something in the order of 120,000 tonnes of stonewool internally already. So naturally, you can understand the -- our interest in being in the primary production of that product. We don't expect it to become a major part of our portfolio, but it will just be a part of it.
Operator: The next question comes from Jonny Coubrough from Deutsche Numis.
Jonny Coubrough: Can I ask firstly on the dynamics between the gross margin and the trading margin in the first half? It looks like the gross margin was good and up year-on-year but offset by growth in overheads. Is that reflecting the organic investment you've been talking about? And would you expect the gross margin to remain around that level in the second half? And then secondly, on the pickup in order intake volumes in panels, how do you feel about visibility here? Has that improved versus where you were at the beginning of the year?
Geoff Doherty: Thanks, Jonny. I think the gross margin versus trading margin dynamic would have been influenced by Steico coming into the group in January of this year. The nature of its cost and overhead base is just different. So we typically -- we don't guide on gross margins. We've guided at the trading margin level. So what we've indicated is that we expect some incremental improvement at a group level in the group trading margin in the second half over the first half. As regards our visibility on our panels order book, as we've indicated, it's been consistently ahead now for a number of months versus the same period last year. And that ought to mean that our sales volumes were up 5% in the first half. We would expect that our sales volume in the second half would be ahead by more than that. And naturally, if that intake trend continues, that ought to feed the early part of next year. That's as far as we can reasonably see out for the next 3 to 4 months. But from a volume perspective, that all looks pretty intact at this stage.
Operator: The next question comes from Brijesh Siya from HSBC.
Brijesh Siya: I have 2 as well. So firstly, on the Eastern Europe side, if you could give us a little more insight into how that business is developing. I understand the business kind of the underlying markets improved, especially in the residential side. So if you can just give us how the market is improving. And in that market, whether there is a pricing competition on the recovery, is there or not? So that's the first one. And the second one, Geoff, you talked about the Insulation -- Insulated Panel improvement in H2 versus H1 in terms of volume. So what do you think about Insulation business? You talked about it's competitive. Having said that, do we expect that minus 10% to roll over to H2? Or we expect an improvement in that as well?
Gene Murtagh: Okay. Just on the Central Europe piece, we have very little residential exposure at all, actually. So it's -- we're probably 95% nonres in Central Europe, and it's particularly around Insulated Panels. And just we've seen pricing and margins tighter there than normal. Like I said, volumes are actually reasonably attractive, but the pricing hasn't recovered from the heavy deflation we saw as raw materials came off wherever about a year ago. But we would expect that to deliver margins that it's typically been able to do over the longer term, but it's just in a tight window at the moment.
Geoff Doherty: And then just your question, if I followed it correctly, as regards to Insulation. I mean the Insulation margin, 8.6% in the first half, there could be some modest improvement in that in the second half. But I think we're in a 9% world for now in that business, particularly as we onboard that stonewool activity, where we have that 30 or 40 basis points of headwind. As we go into next year, that becomes -- that goes away.
Brijesh Siya: Okay. Sorry. My question was about underlying like-for-like sales of minus 10% in H1, whether that's kind of we expect that to be in single digit or do you expect that decline to continue into H2 as well?
Geoff Doherty: Well, I think we'll have different dynamics in different divisions. I mean, firstly, from a pricing perspective, the pricing headwind will -- in our view, at this point, will not be as steep a headwind in the second half as it was in the first half. It was about minus 10% in the first half in panels and Insulation. And that's because raw materials were coming off quite significantly in the second quarter of last year. Selling prices adjusted accordingly. We're now starting to comp and lap some of those. So the pricing headwind will be lower H2 on H2. And then we will -- in panels, clearly, in our biggest business, we'll have the volume benefits kicking in as well to a greater extent even than it did in the first half. So that all would underpin our €900 million trading profit number for this -- for the full year.
Operator: The next question comes from Harry Goad from Berenberg.
Harry Goad: Yes. I've got two, please. I think you just answered the first one, but just to clarify, and I may have missed it elsewhere, but is the guidance for full year '24 about €900 million of trading profit? That's the first one. And the second one, looking at Slide 10, the capacity expansion chart, very interesting. I mean what is the strategy? And if I look at the markets like Colombia, Brazil, Paraguay that you're entering in Insulated Panels, is the idea that you have -- you made your first entry into these markets, test the water, build relationships and then expand because clearly, these are obviously huge markets. And I'd be interested what your view is about how capacity expansion plays out in these new regions over the next sort of 4 or 5 years.
Geoff Doherty: Sure. Yes. Firstly, Harry, on guidance, yes, the guidance is full year trading profit of €900 million.
Gene Murtagh: And then, Harry, on Latin America. So we've been present there for about 5 years now. We first entered in Colombia with a joint venture that's been very successful, and we expect to double up there. And then the bigger market entry, of course, was Brazil, and that's been an extremely active market for us for the last number of years and continues to be actually very attractive. So we have a plan and are executing a pan-regional rollout of the business in markets that, frankly, are very, very underpenetrated and underdeveloped from an insulated panel usage perspective. So if we look at the profile of European penetration growth and now North American, Latin America would still be way behind that. And so far, still very focused on basic applications, food store and chill applications and stuff like that. So there's a tremendous opportunity for us to expand physically but also the product portfolio in those regions at still a very embryotic stage of development in those markets. So Paraguay, Chile, Colombia and further expansion in Brazil and also now our very strong position in Uruguay are all playing their role there. So we see it as a whole new and very exciting long-term frontier at a very interesting early stage.
Operator: And this concludes today's question-and-answer session. So I will hand back over to Gene Murtagh for any closing remarks.
Gene Murtagh: Great, Carla. Thank you very much, and thank you all for joining the call. And no doubt, over the next days, we will be in touch individually with you all. So thank you and goodbye.
Geoff Doherty: Thank you.